Presentation: 
George Kopsiaftis:
Barrie Lambert:
Annie Bell:
George Kopsiaftis:
Douglas Ward:
Barrie Lambert:
Paul Kase:
Annie Bell:
Douglas Ward:
George Kopsiaftis:
Paul Kase:
George Kopsiaftis:
Paul Kase:
Douglas Ward:
George Kopsiaftis:
Douglas Ward:
Annie Bell:
George Kopsiaftis:
Barrie Lambert:
George Kopsiaftis:
Paul Kase:
George Kopsiaftis:
Annie Bell:
George Kopsiaftis:
Douglas Ward:
George Kopsiaftis:
Annie Bell:
Paul Kase:
George Kopsiaftis:
Douglas Ward:
Annie Bell:
George Kopsiaftis:
Douglas Ward:
George Kopsiaftis:
Douglas Ward:
George Kopsiaftis:
Paul Kase:
Annie Bell: